Operator: Good morning all, and thank you for joining us for the CDW Fourth Quarter 2024 Earnings Call. My name is Carly, and I'll be coordinating your call today. [Operator Instructions] I'd like to turn over to your host, Steve O'Brien, from Investor Relations. The floor is yours.
Steve O'Brien: Thank you, Carly. Good morning, everyone. Joining me today to review our fourth quarter and full year 2024 results are Chris Leahy, our Chair and Chief Executive Officer; and Al Miralles, our Chief Financial Officer. Our earnings release was distributed this morning and is available on our website, investor.cdw.com, along with supplemental slides that you can use to follow along during the call. I'd like to remind you that certain comments made in this presentation are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. Those statements are subject to a number of risks and uncertainties that could cause actual results to differ materially. Additional information concerning these risks and uncertainties is contained in the earnings release and Form 8-K we furnished to the SEC today and in the company's other filings with the SEC. CDW assumes no obligation to update the information presented during this webcast. Our presentation also includes certain non-GAAP financial measures, including non-GAAP operating income, non-GAAP operating income margin, non-GAAP net income and non-GAAP earnings per share. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts in the slides for today's webcast and in our earnings release and Form 8-K. Please note, all references to growth rates or dollar amount changes in our remarks today are versus the comparable period in 2023 with net sales growth rates described on an average daily sales basis, unless otherwise indicated. Replay of this webcast will be posted to our website later today. I also want to remind you that this conference call is the property of CDW and may not be recorded or rebroadcast without specific written permission from the company. With that, let me turn the call over to Chris.
Christine Leahy: Thank you, Steve. Good morning, everyone. I'll begin our call with an overview of our fourth quarter and full year performance and share some thoughts on our strategic progress and expectations for 2025. Then I will hand it over to Al, who will take you through a more detailed review of the financials as well as our capital allocation strategy and outlook. We will move quickly through our prepared remarks to ensure we have plenty of time for questions. For the fourth quarter, the team continued its exceptional level of customer commitment and delivered net sales of $5.2 billion, 5% above 2023 on an average daily sales basis. Gross profit of $1.16 billion, flat as reported and up 2% on an average daily sales basis -- on an average daily basis. Non-GAAP operating income of nearly $500 million, 4% below 2023 and non-GAAP net income per share of $2.48, down $0.09 year-over-year or 4%. The fourth quarter delivered a solid finish to a challenging year. During the quarter, as we have seen all year, customer priorities remains laser-focused on operating efficiency and expense elasticity and continually met with as a service and ratable solutions like cloud and SaaS and consultative services in order to optimize spend and minimize capital expenditures. At the same time, customer focus on mission-critical and must-do priorities drove interest in resuming projects with clear short-term returns on investment. This led to an uptick in demand across several hardware categories. Despite this shift in our mix, our durable and stable gross margin held strong and in fact, reached its highest quarterly level in 2024. Looking back on the full year, the team's ability to deliver as a service and service offerings helped partially offset the impact hardware de-prioritization had on our top line, which declined by 3%, and we delivered full year consolidated gross profit roughly 1% below 2023. Sustaining the resources needed to deliver exceptional service to our customers and support future growth drove slight expense deleverage in both 2024 non-GAAP operating income and non-GAAP net income per share declined by 5% and 4%, respectively. Although 2024 P&L results were not consistent with our record of performance, we once again generated more than $1 billion of adjusted free cash flow. We stayed the course on our capital allocation priorities and commitment to shareholders and returned $832 million to shareholders via dividends and share repurchases. A commitment that was reinforced with today's Board of Directors' action to increase our share repurchase authorization by $750 million. Now let's take a closer look at our fourth quarter performance. As always, there are three main drivers of our results: our balanced portfolio of customer end markets; breadth of our product solutions; and services portfolio and relentless execution of our 3-part strategy for growth. First, the balanced portfolio of our diverse customer end markets. As you know, we have five U.S. sales channels: Corporate; Small business; Healthcare; government; and Education. Each channel is a meaningful $1-billion-plus per year business on its own. Within a channel, teams are further segmented to focus on customer end markets, including geographies and verticals. We also have our U.K. and Canadian operations, which together delivered sales of USD 2.5 billion. The benefit of our diverse end markets was clear during the fourth quarter. Commercial markets showed signs of stability in the quarter and returned to growth. While customer behavior remained cautious and we did not experience traditional year-end budget flush, we did see greater willingness by some customers to spend their remaining budgets. Corporate and Small Business increased their top line, both up by 4%. International or other increased by 5% and public increased 6% driven by Healthcare's standout performance, up 30%. Within public unique end market factors continue to influence Education and government. Education declined 2% as high ed strong performance was more than offset by declines in K-12. As expected, the K-12 market experienced the impact of the first full period without any stimulus-based government funding programs. Government's decline was driven by federal end market uncertainty where we saw spending pauses as agencies awaited clarity around priorities from the incoming administration, clearly, a quarter of varied end market performance. The second driver of our performance this quarter was our broad and deep portfolio of solutions and services. Hardware increased top line by 4%, with client devices, NetComm and storage all increasing mid-single digits or better in the U.S. Client Devices growth was primarily driven by normal refresh of aging units. Software net sales were up 5% as robust double-digit SaaS and IAS growth continued to be impacted by the market transition away from licenses. Customer spend and gross profit both increased mid-single digits. Cloud remained an important driver of performance across the business and once again was a meaningful contributor to gross profit. Cloud profit increased by mid-teens. Security was a top contributor to cloud and software results and delivered high single-digit top line and profit growth. Customers continue to leverage our growing services capabilities as part of their strategies and services top line increased 10%. Overall services delivered double-digit profit growth. CDW Managed Services increased more than 20%. As you can see, our deep and broad portfolio of solutions enable the team to address customers' most pressing priorities, and that leads to our third driver of results, relentless commitment to our growth strategy. During 2024, we maintained our strategic fortitude and patients. We continue to build upon our productivity and efficiency work and further strengthen our relevance to our customers, coworkers and partners. One way we are strengthening and differentiating our relevance is by deepening our technical and industry expertise. We know more than anything that customers value our unbiased, highly informed point of view. A point of view that enables our ability to architect and implement full stack multi-branded solutions, which cuts through the noise and deliver outcomes that address each customer's unique needs. Sitting side-by-side with the C-suite at the table, CDW industry experts add value to the decision process and move us up the stack. CDW Healthcare offerings showcase this expertise, our deeply experienced Healthcare subject matter experts include more than two dozen former industry executives. These former CIOs, CTOs and practitioners have been crucial in developing and launching solutions only possible by combining very deep industry-specific expertise with our extensive portfolio and capabilities. Solutions like our proprietary patient room next AI and IoT-based solution and innovative Healthcare transformation centers located across the U.S. Healthcare transformation centers are collaborative spaces equipped with the latest technology and staffed by experts where Healthcare organizations can explore new content, develop strategies and test customized solutions. Solutions that improve patient care and clinical workflows across the care continuum. One center is capable of running a 2,000 bed hospital complete with a stand-alone isolated data center and simulation lab, and another center is focused on exploring scalable and evolving technologies for enhancing quality of life for those aged 50 and older. These transformation centers deliver measurable clinical outcomes. Outcomes like reduced readmission rates, where real-time access to patient data is combined with advanced analytics, so providers can identify at-risk patients and intervene before they are readmitted, and outcomes like enhanced patient satisfaction, where mobile communication tools and solutions deliver greater engagement and streamlined care coordinations, driving higher patient approval scores. Outcomes all made possible by our strategic focus on enhancing our expertise and our capabilities in the fastest growth, highest relevance cloud and software vectors. During 2024, we maintained a patient and opportunistic stance towards capital investment. When the target and the timing was right, we leveraged our cash position and strong free cash flow. And on November 27, we closed our acquisition of Mission Cloud Services a premier AWS partner and leader in driving cloud adoption and migration. Mission complements recent investments we have made to drive greater scale in our services and -- as a service offerings. Investments and capabilities that include cloud migration, full stack and cloud-native software development, DevOps engineering, robust consulting and cloud-based workflow automation expertise and resources. Mission expands our AWS Connect opportunities and delivers a compelling managed service offering that can be purchased through AWS Marketplace, allowing customers to burn down their cloud commits. We know how powerful this can be. Let me share an example of a solution that combined professional and managed services with AWS Connect and AI. It's an example of how we help a customer drive efficiency find cost savings and improve the customers' experiences and outcomes in today's challenging environment. A financial solutions company's on-premise contact center needed an upgrade. After careful evaluation, the CDW team designed a flexible custom solution that improved both customer service and streamlined operations. The solution includes cloud-based compute database and business intelligence that uses AI-driven analytics and natural language understanding. The project began with a multi-hundred-thousand-dollar initial investment in CDW delivered technical and implementation services that provided strong ROI to the customer. The Solution represents a significant monthly spend commitment to CDW for cloud-based customer service agent access to customer data and managed services for continuous performance monitoring. This integrated hardware, software and services solution reduces high maintenance costs, improve scalability, agent performance, customer experience and enables innovative customer service solutions from a data-driven insight. It's an excellent example of the power of integrating managed and professional services with our full portfolio of cloud and AI offerings. Solutions made even more compelling with mission in the family. While we have more to do our investments in high relevance, high-growth areas over the past five years have positioned us well to deliver value to our customers, however they need us. That leads us to our view for 2025. We currently look for the U.S. IT market to grow by low single digits in 2025 on a customer spend basis and for us to outpace market growth by 200 to 300 basis points. This outlook factors in expected impact from unique market dynamics on the public spending side, particularly in federal and Education as well as expected intensified pressure for our U.K. and Canadian operations, given their market face increased uncertainty driven by macro factors and political change. As always, we base our view of IT growth and what we are seeing in the market and what our customers are telling us about their plans and priorities for 2025. Right now, our commercial and public customers' decisions remain deliberate with ongoing project scrutiny, pursuit of short-term ROI and continued large project buying hesitancy. While our market view recognizes the potential for meaningful exogenous factors to impact demand, including policy uncertainty, the level inflation, the impact of tariffs and other potential disruptors, it does not weigh these wildcards too heavily. For now, we are comfortable with our prudent outlook. As we always do, we will provide an updated perspective on business conditions and refine our view of the market as we move through the year. In the meantime, we will continue to do what we do best, out-execute the competition. Whatever the conditions, we will use all of our competitive advantages to outperform the market. Our customers face proliferating data and ever-expanding cybersecurity needs. They face expanding workloads and hardware obsolescence. At the same time, they face the potential and promise of AI and other exciting innovative technologies. With our broad and deep portfolio of solutions and services and capabilities, we will be there for our customers as their trusted adviser, today and tomorrow, wherever their priorities lie. Now let me turn it over to Al, who will provide more detail on the financials and outlook. Al?
Albert Miralles: Thank you, Chris, and good morning, everyone. I will start my prepared remarks with details on our fourth quarter performance. provide a brief 2024 full year summary, move to capital allocation priorities and then finish with our 2025 outlook. Fourth quarter gross profit of $1.2 billion was roughly flat year-over-year, but up 2% compared to the prior year factoring in 1 less day. This was above our original expectation of low to mid-single-digit declines as our teams captured increased demand for cloud, security services and certain hardware products. In-line with our expectations, gross margin of 22.3% was up 50 basis points on a quarter-over-quarter basis, the highest margin quarter of the year but below the record level of 23% achieved in the fourth quarter of 2023. Compared to the prior year, the decline in gross margin was due to a higher contribution from notebook and desktop sales and a modest contraction in margin rate across a few product categories. Netted down revenues represented a strong 35.8% of our gross profit compared to 35.4% in the prior year fourth quarter. We continue to meet customers where they need us most. The netted down category of solutions represents an important and durable trend within our business. While we expect netted down revenue streams to outgrow the rest of the portfolio over time, driven by consistently strong cloud and SaaS growth we may see variance in growth from some of the other netted down categories, including warranties and software assurance as we did this quarter. Moving to a quick review of our channels for the quarter. On an average daily sales basis, the commercial business, achieved top line growth for the first time in two years, alongside firm gross margins. In the public space, Education was roughly seasonal and its sequential decline. And while government remained challenged, the sequential decline was less than historical levels. Healthcare was a standout performer this quarter as our team outperformed in a challenging end market, reflecting the strategic investments we've made in this space. International net sales grew for the quarter, driven by product volume growth but will behind historical fourth quarter sequential growth rates due to a lack of budget flush activity. We still expect volatility in the international end markets as customers in these regions face ongoing economic and political uncertainty. Overall, I want to credit our teams for delivering above our expectations in a tough environment. Turning to expenses in the fourth quarter. Non-GAAP SG&A totaled $656 million, up 3.3% year-over-year. Compared to our prior expectation for SG&A to be roughly flat year-over-year. This increase was mostly due to higher gross profit achievement. The efficiency ratio of non-GAAP SG&A to gross profit was 56.8%. Coworker count at the end of the year was approximately 15,100. While customer-facing coworker count was approximately 10,900, both down 300 coworkers from the third quarter and flat to last year. These numbers take into consideration both our acquisition of Mission Cloud Services and the actions taken in the fourth quarter to align our expenses to market conditions. Our goal is to balance growth, expansion of capabilities and exceptional customer experience with greater efficiency and cost leverage from our broader operations. Non-GAAP operating income was approximately $500 million, down 3.8% versus the prior year, driven by lower gross margins year-over-year combined with higher expenses. Non-GAAP operating income margin of 9.6% was down from the record 10.3% in the prior year. Our non-GAAP net income was $333 million in the quarter, down 4.7% on a year-over-year basis, impacted by slightly higher interest expense following our debt refinancing and lower interest income due to modestly lower rates. With fourth quarter weighted average diluted shares of $134.4 million, non-GAAP net income per diluted share was $2.48, down 3.7% versus the prior year. Shifting gears to briefly review full year results. 2024 was the second consecutive year we experienced a challenging environment. Demand was below what we initially anticipated and customer sentiment was cautious throughout the year with more deliberation and decision-making and elongated sales cycles. Net-net, this led to a 1.8% decline in net sales and a 1.1% decline in gross profit. Despite these declines, gross margins held firm year-over-year at 21.9% versus 21.8%, showing that even when client devices are stronger, and solution hardware is weaker, our margins remain resilient. Our strategy investments are working. Investments like the recent acquisition of Mission Cloud Services which brings capabilities which should position us well for growth in the future. As always, we will continue to pivot to meet customers where they need us, no matter of the environment. Down the P&L, we saw higher year-over-year non-GAAP expenses as we pivoted to adjust our fixed cost base to align to an uneven demand environment and made judicious investments in support of our strategy. This led to year-over-year decline of 4.5%, 4.4% and 3.6% and our non-GAAP operating income non-GAAP net income and non-GAAP net income per diluted share, respectively. Moving to the balance sheet. At period end, net debt was roughly $5.1 billion, up roughly $253 million from the third quarter and approximately $69 million since year-end 2023. This was driven by our use of cash during the quarter, notably to fund our acquisition of Mission Cloud Services. Liquidity remains strong with cash plus revolver availability of approximately $1.7 billion. The 3-month average cash conversion cycle was 18 days, up 1 day from the prior year and at the low end of our targeted range of high teens to low 20s. This cash conversion reflects our effective management of working capital, including proactive management of our inventory levels. As we've mentioned in the past, timing and market dynamics will influence working capital in any given quarter or year. We continue to believe our target cash conversion range remains the best guidepost for modeling working capital longer term. Adjusted cash flow -- free cash flow was $315 million in the quarter, consistent with our expectations. For 2024, in total, adjusted free cash flow was a healthy $1.1 billion and 84% of our non-GAAP net income, achieving our stated rule of thumb of 80% to 90% of non-GAAP net income. For the quarter, we utilized cash consistent with our 2024 capital allocation objectives, including returning approximately $146 million in share repurchases and $83 million in the form of dividends. For the year with $332 million of dividends and $500 million of share repurchases, we exceeded our target of returning 50% to 75% of adjusted free cash flow to shareholders finishing the year at approximately 77%. That brings me to our capital allocation priorities. Our first capital priority is to increase the dividend in line with our non-GAAP net income growth. We announced on our last earnings call, an approximately 1% increase of our dividend to $2.50 annually, our 11th consecutive year in increasing the dividend. We will continue to prudently manage our dividend with respect to the growth environment and target a roughly 25% payout ratio versus non-GAAP net income going forward. Our second priority is to ensure we have the right capital structure in place. We ended the fourth quarter at 2.5x net leverage within our targeted range of two to 3x. We will continue to proactively manage liquidity while maintaining flexibility as evidenced by our 2024 debt refinancing and redemption actions. Finally, our third and fourth capital allocation priorities of M&A and share repurchases remain important drivers of shareholder value. We continually evaluate M&A opportunities that could accelerate our 3-part strategy for growth as shown by our recent acquisition of Mission Cloud Services. Likewise, we remain committed to our target to return 50% to 75% of our adjusted free cash flow to shareholders via the dividend and share repurchases. As such, we are pleased to announce an additional $750 million share repurchase authorization program approved by our Board of Directors. On top of the approximately $588 million of authorization remaining under our current program for 2025 and beyond. And that leads us to our outlook. Customer sentiment remains cautious across end markets. We expect these conditions to persist in the near term but are cautiously optimistic about 25 as an inflection point for the demand cycle. Customers still have a compelling need to address priorities such as workload growth, increasing security threats and aging client devices. And while uncertain macroeconomic conditions and a complex technology landscape, may continue to weigh on customer demand for solutions hardware, we anticipate leveling demand for these products, including in areas like NetComm that saw depressed growth rates in 2024, driven by product digestion and after lapping tough 2023 compares. With these factors in mind, our full year 2025 expectation is for the IT market to grow low single digits. We target market outperformance of 200 to 300 basis points on a customer spend basis. Based on the anticipated mix of products and solutions, we expect low single-digit gross profit growth. We also expect gross margin to remain relatively stable and within the range of 2024 levels as we continue to scale up our cloud, SaaS and services businesses, while balancing the prospect of a return to growth in solutions hardware. We expect first half gross profit to be slightly lower than the second half, reasonably in line with our historical seasonal splits of 48% versus 52%. Finally, we expect our full year non-GAAP earnings per diluted share to grow low single digits year-over-year as we focus on profitable growth, exceptional customer outcomes and an effective execution of our capital allocation priorities. Please remember, we hold ourselves accountable for delivering our financial outlook on a full year constant currency basis. On that note, we expect currency to be a slight headwind to reported growth throughout the year. Moving to modeling thoughts for the first quarter. We anticipate mid-single-digit gross profit decline sequentially and relatively in line with historical levels, leading to low single-digit year-over-year growth, and we expect gross margin to be similar to overall 2024 levels. Moving down the P&L. We expect first quarter operating expenses to be similar to both the first quarter and fourth quarter of 2024 on a dollar basis. As we've seen in the last few years, this will result in the first quarter being the highest level of non-GAAP SG&A as a percentage of gross profit for the year. Finally, we expect first quarter non-GAAP earnings per diluted share to grow in the low single-digit range year-over-year. That concludes the financial summary. As always, we will provide updated views on the macro environment and our business on our future earnings calls. And with that, I will ask the operator to open it for questions. [Operator Instructions]. Thank you.
Operator: [Operator Instructions] Our first question comes from Amit Daryanani of Evercore ISI.
Amit Daryanani: Thanks a lot. Good morning, everyone. I guess just to start with Chris, when I think about the calendar '25 guide that folks just provided, how are you thinking about different parts of the public vertical kind of stack having the growth profile? And I guess, really, given the focus on efficiencies and the impact on Dodge, how do you see that kind of playing out for CDW in the near to medium term? That would be really helpful.
Christine Leahy: Yes. On the public sector side, we've taken into consideration those areas that we can in our typical seasonality and some of the the unique factors that we're facing in terms of Education being at the end of that large funding cycle, et cetera. But here's what I would say. I'd say, look, it's too early to tell where all these things are coming out. We've got a lot of lack of clarity. Things are moving fast. They're very fluid. And so we're basically taking it and analyzing as we go, and we'll update as we go through the year. I would say that when it comes to dose, there are going to be puts and takes. Any time you reduce workforce that tends to slow things down in the government space, and we have factored that in. But on the other side, anything driving efficiency is positive for technology over the long run. So we've tried to be prudent and cautious in our federal approach knowing full well that we just don't have all the clarity and we're going to continue to assess and update you as we go through the year. On Education, we're getting news every single day around the Education side. And so we're just going to be very measured. We're going to stay aware. We're going to stay tuned, but not be overly reactive and we're going to continue to assess funding sources and policy changes across the board. As I said, there are going to be puts and takes. There's going to be -- you'll have reductions, but you'll also have a realignment, and it will be our job to figure out where the opportunities and risks are. And we got a strong -- we've got a very strong federal, state and local and Education business. We have 40 years of finding where the funds are and helping our customers actually work their way through and understand changes, and we're right in the middle of doing that right now. There's a lot of discussion with customers. There's a lot of analysis. They really are turning to us to understand on a daily basis and longer term. Certainly, I think you're going to see some air pockets as people figure things out. But over the long run, we think that technology is going to be a winner across the federal and Education landscape.
Amit Daryanani: Got it. That's really helpful. If I could just follow up. When I think about the low single-digit gross profit dollar guide for the year, you're expecting the broader IT spend and see that this top line to be somewhat better than that. So what's kind of driving a bit more muted gross profit dollar growth, if you make? Is it mix? Or are there some other factors that we should be aware about? Just help us think about that low single-digit profit dollar growth would be helpful.
Albert Miralles: It's Al. I would say, look, as you think about our outlook and down the P&L, the actual variance between the line items from customer spend, gross profit all the way down to EPS. The variance in those growth rates are not significant. So that's number one. So there's nothing there too meaningful to report beyond maybe a little bit of a shifting of mix. So -- and I maybe would just note that with that shifting in mix. We would probably continue to see a little bit of compression in net sales as we continue to lead in lean into netted down, which will bolster gross profit. a little bit of a continued pressure on the expense line that would depress non-GAAP operating income a bit, but then you pick up some leverage as you get further down into EPS. So the variance between those categories, not too meaningful overall.
Operator: Our next question comes from Samik Chatterjee of JPMorgan. Samik your line is now open.
Samik Chatterjee: Thanks for taking my question. I guess maybe to start off on the 4Q results, you had a strong end to the year, but it also seemed like within the verticals that you called out, Healthcare was particularly strong, up, I think, close to 30% on a day adjusted basis. Can you just go through sort of what drove that? Was it a lot of transaction business or any sort of anything else that drove that number to be that strong and I have a quick follow-up.
Christine Leahy: Yes, sure. Look, Healthcare was a standout and Healthcare has been performing for several quarters now. The net sales number reflected the mix that we saw a really nice number there. But at the end of the day, it's been a very balanced success over the last couple of quarters with Healthcare, which is a reflection of our strategy and how we bring value to our customers. The broadened portfolio, particularly around cloud, when you couple that with our deep Healthcare expertise. Those enable the Healthcare teams to be real trusted partners and help our Healthcare customers on their cloud journeys. We've made a number of investments behind Healthcare in the capabilities and technologies and partners, frankly, that we bring to bear. And that is just bearing fruits. Now I would say that we are overlapping a couple of very difficult years. So the number, it does seem high. But at the end of the day, very, very proud of the Healthcare team and the focus and execution that they're bringing to bear for Healthcare organizations that are really earlier in their journey on cloud, and we're right there to help them along the way.
Albert Miralles: And maybe, Samik, I'll just add on that. Chris' point about the comps. As we think about overcoming the comps on Netcomm, Healthcare would be a big one in that regard. It also adds that business, as we've invested behind it has built a nice client base, including some larger transactions. So while we are definitely pleased with the execution and the outcomes there, there is an element there of transactions that may not be fully recurring. . And then finally, I would just note, while that the business is really strong in Healthcare, it tended to somewhat offset some of the declines from government Education. So that would be round out kind of that overall public sector.
Samik Chatterjee: Got it. And probably this one, the follow-up is for you. Just following up on my last question. You mentioned the mix sort of on the net sales side. And I think what you're referring to, which you referred in your prepared remarks is the change in practices from like some Microsoft on the subscription of the on the cloud subscriptions. I think a lot of investors are curious sort of what that magnitude of exposure looks like and how you're sort of navigating through those changes and policies from some of these sort of cloud companies.
Albert Miralles: Sure, Samik. I think we mentioned that last call on some of the Microsoft changes or we got the question with respect to that. Look, we see program changes and change incentive from partners very commonly. This one was telegraphed for quite a while. And so the impact on '25 from that is not material to our overall results. We had been seeing that coming. We were contemplating that. And as usual, we are pivoting to both the other opportunities for growth with Microsoft but also with other partners.
Operator: [Operator Instructions] Our next question comes from Harry Reid of Redburn. Harry, your line is now open.
Unidenified Analyst: Just checking up on a comment made helping clients run down that annual commit on AWS. I'm just thinking about the moats in the business and if there's any threat of disintermediation is the by nature of the value-added service of the reseller essentially protecting that moat and why our clients wouldn't procure directly from AWS marketplace for some of their software? Just any comments there would be very helpful.
Christine Leahy: Yes, it's great to have you on. I would characterize it this way, the moat that CDW has is all of the services that we wrap around the market place purchases. In fact, we were just named AWS Marketplace Partner of the Year. And our customers really turn to us because marketplace is another complexity, if you will, in the procurement chain. And CDW brings to bear all the input and expertise that customers make good decisions. The other thing to remember is that our clients are really squarely hybrid cloud, meaning multi-cloud and on-prem and while cloud is obviously growing very quickly. We have many customers who are also repatriating back to on-premise and have particular reasons that they want to stay on premise, including some of the advances in AI and efficiency around models, et cetera. So the interconnectivity that our customers have across their entire hybrid infrastructure is critically important to have knowledge around. And the only ones who could do that are folks like us who understand the customers' full estate and how things work together. So we are investing behind that. Mission Cloud is a great example of a strategic investment to continue to build our differentiation and we're pleased to have them as part of the family and they're -- they've joined us and taken off well.
Operator: Next question comes from Ruplu Bhattacharya of Bank of America. Ruplu, your line is now open.
Ruplu Bhattacharya: First one for Chris. In the past, SMB has been a bellwether for a change in end market demand. It looks like revenues in that segment this quarter grew about 3% year-on-year. and that's after essentially two years of weakness. So Chris, was there any onetime in this quarter? And do you think that, that segment can now grow year-on-year? And should we think this as a positive indication for overall market demand? And I have a follow-up for Al.
Christine Leahy: Yes. I would say, look, our small business and corporate businesses both showed signs of stabilization this past quarter. And we've said before that we saw small business kind of bumping along the bottom and now in Q4, a little bit of stabilization. We are seeing -- when I say stabilization, I want to be clear that what I mean is the rhythm of the business. We're seeing less unevenness, more stability in the rhythm of the business. the activities in the business, et cetera. So we find that really encouraging. At the same time, Ruplu, I'd just say that customers remain cautious. And we are taking that into account as we think about our outlook and being very prudent, particularly with everything that's happening in the environment. It's unclear what's going to happen with inflation. Clearly, interest rates is an issue out there and then just add all the policy uncertainty and impact -- downstream impact and uncertainty, I think we're going to see small businesses continue to be cautious. But the good news is, is they're cautious and they're optimizing for cost and cost efficiency we've been helping them significantly using cloud and ratable and subscription offerings. So I wouldn't call it a rebound just yet with small business, but we are cautiously optimistic.
Ruplu Bhattacharya: Okay. Al, if I can ask you a question on margins. specifically, if we look at the gross margin of the core business, ex the netted down items, looks like fiscal '24 overall came in at 15.4%. So it was down about 40 bps year-on-year. But the fourth quarter, I think, came in the core business margins 1.5%, so that grew sequentially. The question -- my question to you is fiscal '25 should see an improvement in some end market or end device products like PCs. So how are you thinking about core business margins trending in fiscal '25?
Albert Miralles: Sure. Thanks, Ruplu. A couple of things I would note. You are right. For the quarter, our non-netted down margin was 15.5%. That sequentially was up about 30 basis points. but it was down year-over-year, and I think for the full year, down about 40 basis points, you might have mentioned that. As we think about 2025, I would say net-net, Ruplu would expect that margin to hold reasonably firm. And the reason for that would be while we expect that client will continue to move along a path. We wouldn't expect significant acceleration, but move along the pad, it's been on. We would also expect modest growth of solutions, which we think will aid those non-netted down margins. And then we are cautiously optimistic as hardware comes back that you will see more services attached, which certainly will aid that margin as well. So all things considered, we would expect that non-main margin to hold pretty firm during '25.
Operator: Our next question comes from Keith Housum of Northcoast Research. Keith, your line is now open.
Keith Housum: Chris, just a little bit more on the Mission Cloud Services acquisition. Perhaps can you provide a little bit of context about what it provides to you guys in terms of the financial statements. I mean you do a good job explaining the business. But in terms of -- is it accretive to your gross margins into the bottom line? And do you guys require a significant investment to kind of make it more of a CDW type integrated product that you guys have?
Christine Leahy: Yes. Sure, Keith. Let me start and then I'll hand it over to Al. We're really excited about Mission Cloud. It's in a fast-growth mode. It's a profitable business. It brings incredible AWS expertise and reputation in the market. And we're really excited to bring that to there across our customer base. As you know, they are focused on mid-market and small business, which is a sweet spot for us, but extensible into the rest of our segments. In terms of accretive, the price we paid and we won't see much addition to the bottom line profitability this year because of the foregone interest. And as a result, we're not going to see a big impact. That said, we do expect Mission Cloud to have a significant impact on our strategy and growth rates going forward.
Albert Miralles: Yes. Thanks, Keith. The only thing I would add is, look, Mission is a company that is in growth mode, but notably is profitable. So we deemed it and deem it as a high-quality asset, but we are in the formative stages of integration, so to Chris' point, the materiality at the gross profit and the non-GAAP operating income line would be not substantial in '25, and then really pretty much flat down to EPS when you think about the interest income. And again, Chris hit this, as we fully integrate in '25, and we open the aperture to our vast customer base. We think the upside in the accretion possibilities for Mission are really significant.
Keith Housum: Great. I appreciate it. And then earlier on, you mentioned a little bit of gross margin pressure from some price in the end markets. I just want to make sure I understood that correctly. And two, what's the expectation that would continue going forward?
Albert Miralles: Sure, Keith. Yes, in kind of walk of the gross margin components and the puts and takes, one of the things that I mentioned was like-for-like, we saw a bit of a compression, particularly in the product side of the house. Now I just recall, Keith, that we've had now several years of product margins holding up really, really strong. And I think we've called out that at some point, you could see an impression. I would not note what we saw in the quarter as material. And probably the most notable area where we saw a little bit of compression was clients. So when we factor in all of the elements on the margin front for 2025, Certainly, we've made some space for a little compression, but we would not call that an outsized contributor.
Operator: Our next question comes from Erik Woodring of Morgan Stanley. Erik, your line is now open.
Erik Woodring: Chris, if I look back over the last call it, decade plus, 2024 was the first year that your earnings growth did not outpace your revenue growth. And as I look to 2025, you are guiding kind of as Al referenced, EPS growth, largely in line with gross profit and revenue growth. And so when I take a step back, I'm just -- I'm wondering why maybe we aren't seeing as much leverage in the model as you've seen historically, even including past periods where there was macro uncertainty or a dynamic market. Can you maybe just help us understand maybe why we're not seeing that leverage materialize. And anything that's unique about this environment that truly is different than we look at the past CDW? And then I have a quick follow-up.
Christine Leahy: Yes, sure. I'd characterize it this way. We're -- our goal is to balance growth investments in our capabilities with efficiency across the broad base of our operations. And when you look at the investments we've made over the last several years, they've been significant and producing very good results. But we've been doing this in an environment that exacerbates the kind of deleverage. And that is one where we aren't growing. And we've taken a number of measures, as you know, to ensure we rightsize the business for the current environment for demand, but also, Erik, ensure that we are positioned for growth going forward. I think we've been investing very judiciously. We've been investing very deliberately. And I think in areas that are high growth, high relevance. And Healthcare is a great example of seeing that strategy pay off. Our cloud and SaaS business growth in our security business growth, those are great examples of that strategy paying off. but the deleveraging has to do with the confluence of factors, I'd say, which is investing while we've got initiatives going on for productivity and efficiency in an environment that is low to no growth. Eric, that said, we do expect, obviously, as we move forward for operating leverage to come back over the next year and beyond. I mean that is our goal as well, provided that we are in an environment that supports that.
Erik Woodring: Okay. sorry for cutting you off there. And maybe, Chris, just a quick follow-up is, I could probably make the case for leaning more into M&A in this environment given the change in administration your historical comments about where you see workloads shifting and how that might impact clients by the CDW. Is your appetite for M&A higher today than when we look back over the last, call it, two to three years? And besides just consolidating a fragmented market, where are the specific product gaps you believe are most critical for CDW to address today?
Christine Leahy: Yes, Erik, it's a really interesting question. What I would say is we always have a large appetite for M&A. We are in a different position today because we do have scale and foundation in those areas that we've been driving growth. So when we think about our cloud capabilities, we think about security capabilities. We think about data capabilities. We've been growing those now over five years and have a really good base of scale. I think that puts us in a position that could be really opportunistic to add to those capabilities and fortify them while at the same time identifying tuck-ins that might be more specific to an industry or specific to a particular emerging technology. Our focal areas, frankly, have not changed at dramatically or at all from an M&A perspective. But I would say that we are adding a lens around industry capabilities specifically. You've seen us buy companies specific to Education, specific to federal. This has been a very good strategy for us, and we see that work quite a bit. So I'd just look for us to do more of that. But all said and done, we are patient. We are opportunistic, and we look for great assets.
Albert Miralles: And maybe, Erik, I'd just add. Look, I think 2024 is a great example where we did bring the full array of capital allocation priorities. So during a tough period where we would have deemed our stock to be at more attractive levels. We did lean in more to share repurchases, but behind the scenes, looking actively at what is the next acquisition opportunity that could fuel our operating income and really compounding of earnings. So we will continue with that drumbeat and continue to look at opportunities that fulfill our capability needs, but also drive earnings power.
Operator: Our next question comes from George Wang of Barclays. George, your line is now open.
Dong Wang: Maybe to just -- maybe if you can impact kind of fourth quarter kind of in the prepared remarks, you guys talked about underlying hardware, including NetComm and the storage up mid-single digit. Just curious if you can impacted despite the channel, whether that's all driven by corporate and SMB or whether some from the health care upfront? And also, can you give more color in terms of the full year outlook on the net comp. It seems like you guys are seeing some green shoots. Just curious if we should expect some sort of inflection particularly just on the NetComm side, consider we are probably testing some of the digestion.
Albert Miralles: Okay. George, just take a crack at that, that was a lot. So first, just starting with the quarter, on the end market side. I think the punch line would be the most significant element that exceeded our expectations would be on the commercial side. And we saw as Chris suggested, signs of stabilization on corporate and small business. That was reasonably balanced, George, across different categories of growth. in that area. And then the other end markets that I'd point out, and we've talked about it is health care, again, exceptional performance driven by an array of categories if you will, and really a good reflection of our investing behind that strategy. George, as we look out in '25, some of the elements of what we saw from a category perspective in we would expect to continue. That is on the client side, mid-single-digit growth or better is what we experienced in Q4. We think that's a reasonable glide path for 2025. And then we have a modest expectation on solutions hardware. We saw 3%, 4% in the quarter. And in that realm, I think, is quite reasonable. Where will that come from? Probably some contribution from NetComm and again, we're cautious on the demand there, but we think there could be some continued growth in NetComm. Storage was a strong performer for us in Q4. And then going the other way, servers have been challenging. And so we are cautious that may continue in that space. So that would be how it would round out on the hardware product category side of things.
Dong Wang: Okay, great. If I can squeeze a follow-up. Last quarter, you guys talked briefly on some of the slight increased competition/pricing pressure. I just want to make sure of the transitory in nature kind of completely went away in the December quarter and going forward. So maybe you can address if you guys are still seeing some increased competition or that was really sort of completing the rearview mirror?
Albert Miralles: Sure, George. I'll take that. First, I would say those comments were not just specific to Q3. It was really a reflection on the broader range of the last two years and the challenged environment we've been in. We've been in a tough down cycle of hardware. And with that competition, quite fierce. That's continued. I wouldn't point anything out differently in Q4, and we continue to fight the good fight in that regard. And I think we came out quite well versus our expectations in that regard. I would not point to when we talk about margins, George, that the competition is having any meaningful impact on our margins in that regard.
Operator: Thank you very much. At this time, I'd like to hand the call back to CDW for closing remarks.
Christine Leahy: Okay. Thank you, Carly. I appreciate that. Let me close by recognizing the incredible dedication and hard work of our coworkers around the globe their ongoing commitment to serving our customers, it's what makes us successful. Thank you to our customers for the privilege and opportunity to help you achieve your goals. And thank you to those listening for your time and continued interest in CDW. Al and I look forward to talking to you next quarter. .
Operator: As we conclude today's call, we'd like to thank everyone for joining. You may now disconnect your lines.